Operator: Good morning and welcome to Erie Indemnity Company First Quarter 2022 Earnings Conference Call. This call was prerecorded and there will be no question-and-answer session following the recording. Now, I'd like to introduce your host for the call, Vice President of Investor Relations, Scott Beilharz.
Scott Beilharz: Thank you and welcome everyone. We appreciate you joining us for this recorded discussion about our first quarter results. This recording includes remarks from Timothy NeCastro, President and Chief Executive Officer, and Greg Gutting, Executive Vice President and Chief Financial Officer. Our earnings release and financial supplement were issued yesterday afternoon after the market closed and are available within the Investor Relations section of our website erieinsurance.com. Before we begin, I would like to remind everyone that today's discussion may contain forward-looking remarks that reflect the company's current views about future events. These remarks are based on assumptions subject to known and unexpected risks and uncertainties. These risks and uncertainties may cause results to differ materially from those described in these remarks. For information on important factors that may cause such differences, please see the Safe Harbor statements in our Form 10-Q filing with the SEC dated April 28th, 2022 and the related press release. This prerecorded call is the property of Erie Indemnity Company. It may not be reproduced or rebroadcast by any other party without the prior written consent of Erie Indemnity Company. With that, we will move on to Tim's remarks. Tim?
Timothy NeCastro: Thanks Scott and good morning, everyone. Earlier this week, we held our Annual Meeting of Shareholders. We broadcast the meeting from the new Thomas B. Hagen building, which as I mentioned on previous calls, was dedicated last September. This beautiful building has continued to sit mostly empty since that time as the majority of our employees have continued to work remotely. However, just in the past couple of weeks, that started to change. We celebrated Erie's 97th anniversary on April 20th by welcoming nearly 200 employees back to our home office campus. They joined the essential employees who have been coming into the office to maintain operations since the beginning of the pandemic. This is the beginning of a broader phase-in return to our offices that will be taking place over the next several months. We're returning with greater flexibility than ever before. But we're taking a slow and steady approach to ensure the spirit of the organization and levels of service are upheld as the pandemic continues its transition to new variants in a world anxious to return to living fully. At Erie, our focus now is less about getting back to what we previously knew and more about exploring what's next. We're positioning, learning, and adapting as we go and we'll be doing that together with our Erie employees. At the Annual Shareholder's Meeting, I also shared some of the external challenges we're facing, the inflation rate, supply chain issues, and labor shortages are being felt across all industries and they are further echoed in our industry through increased claims cost. Our combined ratio for the first quarter, which stands at 104.6% reflects some of those challenges. But I'm confident in Erie's financial strength evidenced by $11.5 billion in policyholder surplus and continued growth, which can be seen in the 7% direct written premium increase for the quarter. And of course, Erie's 97-year track record of stability and success is a testament to the adaptability and resilience to whatever the times may throw our way. With that, I'd like to turn it over to Greg for a deeper view of our first quarter financials. Greg?
Greg Gutting: Thanks Tim. Good morning everyone and thank you for joining our first quarter 2022 earnings call. As Tim mentioned, earlier this week, we held our 97th Annual Shareholder's Meeting where we shared many of our distinguished accomplishments in 2021. We shared how several new products have positively impacted our insurance operations. We shared how changes in the way we interact and communicate with our customers has bolstered our customers overall experience. And lastly, we shared with our audience how even in the midst of a more difficult year, the Exchange still added $1 billion to policyholder surplus, further showing this strong financial performance can be achieved even during challenging times. Now, I would like to share with you the first quarter results for 2022. Beginning with the Exchange, the insurance operations we manage, direct and assumed written premium growth for the first quarter with 7%. This growth for the quarter was driven by a 4% increase in the new policy premiums as well as a 3% increase in total policies in force. The Exchange's combined ratio for the quarter was 104.6%, up significantly from the first quarter of 2021. The increase in the combined ratio can be attributed to the increase in auto claims frequency and severity, driven by higher claim settlement costs and driving activity at near pre-pandemic levels. Despite the increase in the combined ratio, the Exchange still recorded policyholder surplus of $11.5 billion at March 31st, 2022. Shifting our attention to Indemnity, first quarter 2022, net income was $69 million, or $1.31 per diluted share compared to $74 million or $1.41 per diluted share in the first quarter of 2021. Operating income before taxes increased $8 million, or 10.8% in the first quarter of 2022 compared to the first quarter of 2021. Indemnity's management fee revenue from policy issuance and renewal services increased $32 million or 7.1% in the first quarter of 2022 compared to the first quarter of 2021. Management fee revenue allocated to administrative services was $14 million in the first quarter of 2022, compared to $15 million in the first quarter of last year. Turning to Indemnity's cost of operations related to policy issuance and renewal services, commissions increased nearly $20 million in the first quarter of 2022 compared to the same period in 2021. This was the result of the 7% increase in the direct and assumed premiums written by the Exchange, primarily in lines of business that pay a higher commission rate. Non-commission expenses increased $4 million in the first quarter of 2022 compared to the first quarter of 2021. Sales and advertising increased nearly $2 million due to agent-related expenses, while administrative and other costs increased $3 million, primarily due to an increase in professional fees. Lastly, income from investments before taxes totaled $3 million for the quarter compared to $18 million during the first quarter of 2021. Included in our investment income was nearly $3 million of income from limited partnerships in the first quarter of 2022 compared to $9 million in limited partnership income in the first quarter of 2021. However, keep in mind that our limited partnership portfolio is still in runoff. Indemnity also recorded realized and unrealized losses of over $7 million in the first quarter of 2022, which negatively impacted total investment income. Thank you, again, for your time and attention this morning. I look forward to continuing to provide you with financial updates throughout 2022. Now, I'll turn the call back over to Tim.
Timothy NeCastro: Thank you, Greg. We headed in the 2022 hoist implemented strategies we've spent over a year developing and refining. That strategy involves embracing technology in ways that are distinctly Erie by strengthening our most unique asset, relationship with our independent agency force. It also aims to strengthen our competitive position by making sure our independent agents are well-equipped to meet the changing needs and preferences of our customers. A perfect example of a product that addresses those changing needs is our commercial cyber suite coverage. This provides comprehensive protection against risks we couldn't imagine a few decades back, cyber-attacks to businesses. It's now available to commercial customers through Erie Secure business and automatically quoted on all new policies. There's a growing market addressing the emerging threats businesses face in this digital age and we see a lot of potential for this particular product. Also through Erie Secure business, a new wage and hour option within Employment Practices Liability covers defense costs for claims for the insured and their employee disagree about time paid. These defense costs can present a real exposure for small business clients and we're pleased to now offer this optional coverage. On the personal line side, we're addressing a previously unmet need by offering extended water or flood coverage. This coverage which includes both sewer drain and flood coverage under a single limit is now offered in four states with plans to roll it out to most of our states by the end of this year. Another way we're meeting both customer and agent needs is through the service capabilities we provide. Our online account platform now has more than 900,000 active customers and live chat capabilities are now available to all customers that use it, giving them the option to have a real-time conversation with an Erie customer care representative online. More than 12,000 chats have been handled since the functionality was introduced. We're also pleased to now offer live interpretation services for our agents through a partnership with a service called Language Line Solutions. Agents can have clear professional conversations with any customer or prospect regardless of the language they speak. Agents simply call a number, choose from more than 200 languages and connect with a live interpreter at no charge. Along with service to our customers, we're also committed as always, to servicing our communities where we live and work. Erie recently selected 23 educational non-profits to receive more than $824,000 in funding for 2022 through Pennsylvania's Educational Improvement Tax Credit Program. Erie has donated nearly $10 million to the program since it was established in 2011. I'm also proud to announce two recent third-party recognitions. Erie was named Best of the Best by both the Hispanic Network Magazine and by the Black EOE Journal. Both publications promote diversity in all aspects of education, business, and employment to ensure equal opportunity, and we're excited to be recognized for our commitment to integrating diversity, equity, and inclusion into our principles and practices. Finally, I'm very excited to share that after an extensive search, we've appointed the new Executive Vice President and Chief Information Officer to replace Bob Ingram around who retired at the end of last year. Partha Srinivasa, who most recently served as Senior Vice President and Chief Data Officer at Verisk Analytics joined Erie on April 4. Verisk is one of the world's largest data analytics firms and Partha was responsible for the company's insurance segment, data and technology, as well as enterprise-wide data and analytics. Prior to Verisk, he held multiple technology leadership roles as a global CIO and CTO at companies including Zurich Financial Services, Tokio Marine, Farmers Insurance, and Safe Auto. Partha is highly respected IT executive and his experience is a perfect match for where we need to go as an organization and the critical role technology and data play in getting us there. He's also a positive open person who embraces and embodies Erie's unique values and culture. I'm so pleased to have Partha at the Executive table and know he'll do great things here in Erie. As always, I'd like to express my gratitude to our employees and agents for their commitment to being above all in service and to our shareholders for their continued support and trust. Thank you for listening in today and your continued interest in Erie.
End of Q&A: Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation. You may now disconnect.